Operator: Good day and welcome to IAC Reports Quarter Two 2016 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Glenn Schiffman. Please go ahead.
Glenn Schiffman: Thank you, operator. Good morning, everyone. Glenn Schiffman here and welcome to our second quarter earnings call. Joining me today is Joey Levin, our CEO, and we are also thrilled to have Chris Terrill, the CEO of HomeAdvisor on the phone. As you know in order to give you more time to digest our respective results, Match Group held their second quarter earnings call yesterday morning. The focus of this call will be IAC ex-Match. Similar to last quarter supplemental to our quarterly earnings release we also published our quarterly Shareholder Letter. We will not be reading our Shareholder Letter on this call, but we encourage you to read it in its entirety. It's currently available on the Investor Relations section of our website. And we will shortly turn the call over to Joey make a few brief introductory remarks and then we will open it up to Q&A. Before we get to that, I'd like to remind you that during the call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as, we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our first quarter press release and our periodic reports filed with the SEC. We'll also discuss certain non-GAAP measures, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA, for simplicity during the call. I'll also refer you to our press release and, again, to the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now let's jump right into it. Joey?
Joey Levin: Yeah, I just wanted to expand on introduction of Chris who is joining us today for the first time. Obviously, given the focus on HomeAdvisor in the letter, I thought it would be good to have him here to answer questions and you'd hear straight from the horse's mouth. HomeAdvisor had an unbelievable quarter and really an unbelievable few years, but this quarter proved that there's profit and real profit in this business on top of all the revenue growth we've been delivering and I think that's going to continue for the foreseeable future. When Chris joined us, which was in April of 2011, the growth of this business has slowed meaningfully and in Chris' first fiscal year on the core domestic business, I think, he delivered 3% revenue growth which was down from 14% two years ago, and at two years earlier than that and he came in about 12 months into the job and he said actually, from here I'm going to drop revenue further. I'm going to cut profit in half, and it's going to stay down there for a little while, while we fix some things. And I think it's incredible testament to Chris and the team there to take that risk and also a testament to what we do IAC in terms of we sort of had two choices then which was either fire Chris or given the rope to operate and we obviously gave them the rope and they've done an unbelievable job building that business. And it's finally now proven out, so this is the scene that responsible for Chris leading that and you all can have add them with some questions now. The only other thing I'll add is, I think about the quarter overall for IAC obviously HomeAdvisor great, publishing and applications not great. We did some real work there in terms of cost cutting, and we ought to put those businesses and I think it's a different story between applications and publishing, but they got to be on track that you can rely on and we're hard at work on that I think the work we did this quarter goes towards that end. So with that, we will move on to the questions.
Operator: [Operator Instructions] And we'll go ahead and take our first question from John Blackledge with Cowen & Company. Your line is open.
John Blackledge: Great. Thanks. Two questions. The first one for Chris, HomeAdvisor had exceptional revenue growth again big margin upside led by 28% incremental EBITDA margins, maybe could you just discuss the key drivers of the second quarter revenue growth, and also frame out the longer-term opportunity for HomeAdvisor of both on the top line where it seems for the letter you getting more comfortable with potentially billing dollars in revenue in the next three to five years and also discuss where margins will shake out at those levels. And then for Joey, companies brought back over 200 and shares thus far this year. You took a little break at a point in 2Q to perhaps preserve some cash for potential opportunities. Could you just discuss where you're seeing on M&A front and whether you'd be talking for existing businesses or new businesses? Thanks.
Chris Terrill: Yes thank this is Chris Terrill. Your first question was just what was the performance. We've been investing for a long time and growing our service provider network in MTV all of those are profitable for us, but they take time to pay out over several months and so what you've seen is the outperformance on SPs that are sold. And we also have a little bit stronger June, stronger but weaker April and May and all those led to sort of stronger revenue growth. And then we had some leverage in terms of our paid and free makeshift and then we had a couple of other items that benefited the quarter, but overall what you're seeing is as Joey mentioned a lot of the investments we've made early on are starting to really flow through and are positive for us. I think your other question was one of the fundamental drivers for the long-term, it's a little bit of the long answer, I'll give you, but I think we've just begun to tap into many of these things we're very bullish on how this will play out over the future and we've done a lot of things to focus on continuing to grow our service provider base, is a huge opportunity for us, we've really hit our stride productivity is strong within our sales team, and we see growth of the service product base for years to come. Additionally a lot of this new service providers were bringing in are much more valuable in the past they have more capacity more ability to spin. And so I think you'll see them be able to add more significantly over time. Another big area that's important for us is pushing up, repeat homeowner usage on an annualized basis, right now, we take about 1.5 of services request annually out of the six to eight for the average homeowner has and we think there's huge opportunities to grab more of that share over time. We've got basically the ability to take more share to some degree of the off-line service request that our through word-of-mouth and sellers more and more of those service request move from off-line to online, we want to be that brand of choice. We think we're just in the early, early innings of this becoming a more online-based process. I think there's huge opportunity upside there. We continue to have strong pricing power. We're continuously looking at the ROI that our service providers get from our products and what their win rate is I think on a sort of average basis relative to other alternatives out there we're still relatively low-priced, and I think as we continue to drive up the win rate of our service providers we will have pricing power over time. I think one of the big things that's coming up for us is the fact that we have such low unaided awareness still. I mean we're the leader on almost every category in the space and yet we still have relatively low unaided awareness. So as we build that over time I think that's going to be a critical driver for us and I think also will be well-positioned as the millennial starts to have children, moving in that second home, have more discretionary income we want to be brand of choice and we think our Instant Book and Instant Connect align nicely with what they will be looking for. And then finally we are just growing our mobile share and I think there's real opportunity as this becomes more than mobile first business to be there, you know as the brand of choice again for anyone who's looking for a mobile option. So I think we have a wide variety of areas that we can really grow the business. And then I think from a margin perspective, this business in 2011 and 2012 we were delivering what was approaching 20% margins. We've made great investments those investments are multi-month payback but we are seeing them flow through and I'll be very disappointed if we don't significantly beat our historical high margin ranges over the coming years. I think you're going to see margin really flow through in the business and this is going to be a strong margin business.
John Blackledge: That's great thank you.
Chris Terrill: And John on your question of cash and M&A opportunities, I think I said last quarter and that remains true. We're prioritizing tuck-ins over new, but we certainly continue to look at new. I don't think there's anything imminent on that front but that's where we are looking. The -- and we'll prioritize behind, as I said, before areas of strength I think and we can supplement HomeAdvisor M&A, we'll supplement HomeAdvisor with M&A as we'll look internationally, and new areas is something that will always interest us and that we'll always continue to explore but there's nothing imminent.
John Blackledge: Thank you.
Operator: And we'll go ahead take our next question from Dan Salmon with BMO Capital Markets. Your line is open.
Dan Salmon: Hey, good morning everyone. Maybe two questions for Chris. First, there is a nice little chart here in the shareholder letter showing the rate of growth of paying service professionals plus sales reps and it seems like it works a fairly linear fashion and obviously both of ramped up considerably in the last couple of years. I'm curious here. Do you think that that has – that continues to move linearly going forward or is there an opportunity to build leverage off of that as one of the levers to drive your margin expansion. And then just a second question is if you could remind us a little bit on quality control, I know you have a screening process for the service professionals at the outset and I'm sure reviews play into that as well, but just how you maintain quality control on an ongoing basis I'd be curious to just hear a bit more about.
Joey Levin: Sure. So thanks Dan. On your first question, yes there is some linear correlation relative to adding sales folks and driving our service provider network. Although I think we're seeing more, if you look at that chart we're seeing better and better productivity. Productivity is getting stronger but in conjunction we're tending to actually bring higher quality service providers while maintaining high productivity levels and that's not easy to do. That means we are putting more and more restrictions on our sales folks force and bring in the very best of the best, and those better service providers can spend more they have greater capacity. They tend to stay longer, and have better long-term retention characteristics. So I think we will get more and more leverage over time, with our sales force, as we bring in the better and better guys. I also think what you're seeing is again unaided awareness. As our awareness get stronger and stronger, the sales it's easier and easier, as service providers realized HomeAdvisor are coming to us at the marketplace of choice, there more compelled to sign up that makes us feel is your overtime. So I think we'll continue to get have growth at sales folks over the coming years. I don't see that slowing up and I think we'll get more productivity out of them. I think on the quality control question, we truly have quality controls that are unmatched in the industry, first we perform criminal and financial backgrounds screening on applicants, which is costly and we think it's an important thing to do. We reject 10% of folks who try to come in and many service providers know we're going to screen them, so they don't even try and of those that we tell we're going to screen try and we reject those. Those rejections are expensive. There are a lot of people that would love to have the number of people we're rejecting on a monthly basis as their entire service provider network, but we think it's important to maintaining quality. We'll find that a lot of these guys who don't passed our background check you may find them on other list sites or competitors and that's fine because we really only want the top guys. We don't want the top guys we don't want to chuck in the truck and we want the guys that have a lot of capacity that are going to stick around for years to come, and provide really high-quality service to our homeowners. And then once the service provider comes into the network, we have a very, very robust fraud monitoring and dispute resolution process. We have state of the art tools to really make sure that only the best are staying in. And then a lot of the guys who come in if they are not getting good reviews if they are not doing quality work, they'll opt out. Our system sort of will push them out because they can't compete. So we have a number of things we use that are sort of unmatched in the industry in terms of how we like guys in. Once they come in, how we monitor them and then we'll push out about 25%, 28% they do come to network and trust me like I said lots of folks do not want to have to have these quality controls because they want to let anybody in because it's expensive and difficult to build a really quality network. I would just add on this the linear efficiency of sales growth and as fee growth is, for us 6% share right now of SPs. I don't know what number we need to get to I think it's meaningfully above where we are right now, but it's not 100% for the reason that Chris said with respect to quality. It may not even be 50%, what we need is liquidity in the marketplace across every job, across every geography. And then you just keep calling for quality and I think that you start to get much more efficiency once you have absolute liquidity everywhere and then you start calling for there. So I don't know when we -- I think we're a ways from getting to that level, but at some points it's very much not linear, yeah, on top of the efficiency points that Chris made.
Dan Salmon: Great, thanks very much.
Operator: And we'll take a next question from Brian Fitzgerald with Jefferies. Your line is open.
Joey Levin: Hello, Brian. Maybe we lost Brian. You want to go to the next one? Or Brian are you on mute?
Brian Fitzgerald: Yeah, can you hear me now?
Joey Levin: Yeah.
Brian Fitzgerald: Thanks guys. So maybe question around the eight jobs a year that for the average household and you guys are tapping into 1.5 can you give us some color on how quickly you can kind of close that gap capture more of the jobs, what is that trajectory look like and then maybe a quick housekeeping one on the publishing side of things, the restructuring charges, can you give us some color on how much of that was, should be allocated to ask versus maybe about or anything else in there. Thanks
Joey Levin: All right. Chris you go first and I'll take it from there.
Chris Terrill: So Brian it's a good question. There are those sort of 6 to 8 opportunities per year. We are still taking a relatively small percentage of those lots of room to grow. You know I think what's important from the way we look at it is we're seeing annual repeat usage grow very nicely particularly for our brand of traffic and our app users. And we're getting also much better predicting what homeowner's next service request need is as well as making things like repeat task easier to accomplish through our Instant Booking engine. So I think it's IB and IC, as the Booking and as the Connect scale over time as we get smarter at our predictive algorithms, I think you look see us accelerate our share of the homeowners annual needs. And then we also are benefiting as you get more sophisticated with our sort of internal operations, whether it's through email or operations team to reach back out and sort of tap into some of those additional needs that homeowners have. And I think what you're seeing is more and more folks are sticking with us staying in our ecosystem and relying on us to take care of the majority of their home needs. So I think we're just starting out but we've got all of the infrastructure we need to really take more that sort of annual share over time. And Brian and then on your question on the publishing restructuring, I'll try as good as I can but the short answer is it is weighs much more heavily to our desk than others -- than it is towards premium brand. And the thing that's been most hit in this business is in the publishing business is really our ability to market our properties in Ask and Other properties are much more dependent on that marketing than the premium brand. The premium brands do some marketing as well. But the Ask and Other were much more dependent on that and that's really been what's been hitting the business. You know when we -we are quartering to the new Google deal but the lower and more [indiscernible] with the factor and our ability to do that I talked about last quarter, the loss of the right rail inventory which really has nothing to do with our deal with Google. They just – it's something that they eliminated in it. So it's less real estate for us to market on. That portion of the business is where we've been most meaningfully hit and that's where we took a lot of infrastructure out. And so there's meaningful cost savings there I don't know the percentage. I don't know if... It's in excess of 75% to $4.5 million was a charge we took this quarter. The annualized impact of that is 18 million, embedded in that 18 million you saw on our press release is the limiting losses associated with the sale of ASKfm. ASKfm obviously is in Ask and other categories, so if we include that in the other cost savings attached thereto, it would be in excess of 75%.
Brian Fitzgerald: Thanks, guys.
Chris Terrill: Sure.
Operator: And we'll take our next question from Jason Helfstein with Oppenheimer. Your line is open.
Jason Helfstein: Thanks. Two, one for Chris. Are you seeing any impact on traffic conversion rates or service provider demands since Angie went to a free model? And then second for Joey, you guys highlighted in the letter, the non-dating business continues to trade no or negative value, what about potentially swapping that your application business into another public company and taking stock to make the value more transparent that there's still a lot other companies out there who have similar businesses. Thanks.
Chris Terrill: Go ahead, Chris.
Joey Levin: Sure. Hi, Jason. So, we've seen no impact aside from seeing some decrease in Angie's grand term searches with sort of started in Q2 that they pulled back on TV. We really truly see no impact on our business at all. I think the broader commentary is that this is a really huge market of $400 billion market. We tend to not really bump into competitors much in this space and I think we're sort of going after service product that we think best that our model. For us what we really look at is not sort of the competition as someone may think of it looking at other alternatives online. What we think of it is as the opportunity for the 70% of all these off-line, word-of-mouth service request, to take as much share of that as we can and to be positioned to take that as it moves online. I mean that's the really, really big opportunity so we're focused on and what we're trying to position ourselves to take advantage of. Jason on your question whether it is sale the application business or merge it into something, or all that. I mean it's not impossible. We always look at things with our assets and see if there's a structure that makes better sense than the structure we have now and creates more value than the structure we have now. I don't see that as obvious right now in that business. We – it provides real cash flow for us that cash flow provides value to us and funding other businesses, and I think that will continue for a while and I don't know that we would get the value for that cash flow outside as we get the value for the cash flow inside, I mean right now that we not getting a multiple on it in our stock price but we can deploy that cash flow and the that cash flow has value to us over time, in terms of our ability to use it, and I don't know that we would get, sort of, cash-on-cash value for it in that external structure. If there is one that make sense that something that we'll look at as we look at that with all of our businesses but I think it's probably stretch, right now. And you saw in Joey's letter, I mean, the attraction of that business not unlike a lot of other businesses. Frankly is the cash flow conversion, we convert 80 to 90% of that adjusted EBITDA to the cash flow to the pre-tax cash flow line?
Jason Helfstein: Thank you
Operator: And we will go ahead and take a next question from Peter Stabler with Wells Fargo Securities. Your line is open.
Peter Stabler: Good morning. Some questions for Chris on HomeAdvisor. First all, could you give us some thoughts on international growth rate there is respectable obviously trailing domestic. What kind of, investment do you guys need to make in international operations over the next several years. What kind of, growth rate do you think you can get too, and then what kind of, investment is needed at sales force investment, is it structural. And then beyond that I was wondering, you mentioned in the letter that the direct traffic is up 48%. I am wondering, if you could give us share with us any sort of, absolute number and what you're getting there, and then if I could squeeze the last one in, you mentioned 60 million in TV spend in 2016, any view on what we could expect over the next couple of years on given the fact that you're not happy with your updated awareness. Thanks so much
Joey Levin: I will sneak in on international, Peter. And then I will turn the rest to Chris. Is – there is a few ways to invest in the international business right now, it's a low single-digit investment. We expanded that a bit but we are talking about tiny numbers now. I think and I talked about this a little bit in the letter. When we go into a new country, you we can use our technology. We can use our platform. We can use our know-how. We can use our experience. But in an individual geography, you need a – best network and you need a brand and whether it's the same brand or different brand you still got to build in that market. So that does take some capital in that does take some time, I think we're learning now what it looks like to build from scratch, and we're doing that in Italy, start – build from scratch in terms of using what we have but though the SP Network and the brand from scratch. And France and Netherlands are doing well so we can fund a little bit of that investment through those other infrastructure, I think we're still looking at in terms of investment there, in the single-digit millions of what we would spend I think if we can supplement with M&A we could spend more money, and then move a little bit faster but that's the way we're thinking about it.
Chris Terrill: Hi. Peter, so I'm going to answer your last question first, you asked about our $60 million spend in 2017, which are still on pace to hit, we started our TV push in 2013, the goal is to figure out this TV worked and to figure out what the right spin levels are and then to see how do we latter spins up so we don't get out of balance in the supply and demand side. I am very bullish that we have a long way to go to spin in TV. I've done TV for a long time I spent hundreds of millions on TV in the past and I'm not seeing anything that concerns me about the years to come. I think we'll probably spend in the range of $80 million next year and we'll keep at a pretty strong pace thereafter, but all of our television is ROI positive, which is unique in television unto itself but ours is very strong it continues to hold and I think we have a lot of upside we're a business where yes we want to get up improve our unneeded awareness and we've got a long way to go there but we also are shoulder to our business where we constantly reminding people of things they have on their list that we can solve for them. So having TVOD a big part of our mix in the future and I see us continue to spend up over the years to come.
Peter Stabler: On the traffic question can you clarify basically, our traffic tends to move somewhere in line with what you see in our revenue growth et cetera. We don't – I don't believe we released unique but can you tell me specifically what you're asking.
Chris Terrill: What he wants to know I think Chris is which we are not going to answer is exactly what percentage of our traffic is direct. It's a meaningful percentage of the business but in terms of the breakdown of what comes direct and what comes from the other sources. I don't know if we can answer that, if you got a different view you want to share it I am fine with it, but -
Joey Levin: We've strategically been looking to build our direct and our brand of traffic it's been growing very, very nicely as a percentage and it will continue to grow.
Peter Stabler: Thanks for the color.
Operator: And we'll take our next question from Ross Sandler with Deutsche Bank. Your line is open.
Ross Sandler: Great. I guess the first high-level question for Chris, thanks for joining the call, so we know the business model for HomeAdvisor Angie's list maybe some newer entrants like thumbtack and potentially Google at some point, are all different, but there's some conversions going on, and it seems like over the course of history each of these companies has had a period of ramping up or ramping back the marketing, but if we just fast-forward, called it five, 10 years, what you see the market share looking like for the various top players. And you listed a bunch of metrics in the letter today, what are you view as the key differentiators for HomeAdvisor versus some of these other platforms is it organic traffic in a sense of community on the user side or is it service provider ROI like what are the key KPIs that you looked at relative to your competition? And then Joey, it's just a clarification on the guidance reduction in publishing and apps, so if we take like the $30 million-ish for your reduction midpoint for those two and we look at you're shutting down certain areas of the business, there is the Google right hand side changes, can you just isolate how much of that 30 is from shutdown and restructuring charges versus like the ongoing Google related stuff and then do we feel like we're at a point right now after those right-hand real changes that we have a decent level of visibility on Google related run rate going forward. Thanks.
Chris Terrill: Hi Ross this is Chris, your first question on market share I think I'm probably too biased to be able to answer this perfectly objectively, but I think what you're going to see over the coming years, our models like ours where it's just really, really easy for a homeowner to get in and book a service provider directly from their calendar to be connected with them directly and to have just sort of, highly interactive highly dynamic marketplace, that has much less friction. I know you're saying that similarities but I'd argue there are some strong differences between what we do and what everyone else is doing.
Ross Sandler: I think if you just look at what's happening in sort of, getting car service nobody wants to go and look out a list, find the car service, try to call them hope the answer maybe they do, the answer maybe they come and pick you up, you want to get your phone, you want to hit a button and you want the car to show up and get you to where you need. And we think of Home Service as the exact same way.
Joey Levin: And so, our believe is that there will be a dominant market either outright winner or the dominant winner in this space taking the majority of share, because it's just so easy, efficient to find the home help you need. And when you look at our scale, you look at our liquidity we believe we are well on the way of getting there. So, I am not going to predict what our market share is, but if we continue to execute the way we have, we have a really strong lead and we plan to lean in on that and be that marketplace where it's just so easy for the service provider to get the high quality homeowner that keeps their business cranking. And if you're a homeowner, it's just really, really easy to get all of your home needs taken care of through to us. So, I think that's what our view of the future is.
Chris Terrill: In terms of the key differentiators, certainly there are big differences between what we do and some of the older sort of, list based or directory businesses. In terms of service providers, the fact that they can track their spend, the fact that they can look at their ROI, the that fact that they can tap into performance-based marketing, and the fact that they can control how much work they do or don't get based on their needs is really important. And I think if you just look at sort of our philosophical approach to others, we provide real-time matching and connectivity marketplace that allows that quick and effective connection for homeowners. It eliminates a lot of the friction. I touched on, we have got – we allow our service providers to have a lot of control over what they do, when they work. And I think those things are really, really fundamentally different. They are hard to build. We have invested over $1 billion creating them. We have one of the most sophisticated algorithms allocating supply and demand. And so, I think those things really do differentiate us. It may seem from the outside looking in, that all of these services are similar, but I would argue if you really dig. We're pretty radically different and we have a lot of features and functionality on both sides of the marketplace that makes us unique and very appealing to participate in.
Joey Levin: And Ross, Chris used the word marketplace many times, I think that simply put the true differentiator between us and the other players in the industry and I think Joey goes through a lot of great descriptions in the letter as to why that's true. And why our marketplace will help redefine, redefine this industry, reengineer this industry, and provide a ton of value both the supply and demand side, and in so doing the flywheel that we talked about in the previous shareholder letter really kicks in and accelerates as you are seeing in our operating results.
Chris Terrill: Yes if I can try a third way, simply there is a listing business, a lot of listings businesses you put up a listing and hopefully your phone rings and I presume one of those platforms, your phone does ring. That's a fine service professional, but its very different in a service that really fills up your book for you, that paces out your jobs for you, that organizes your jobs for you geographically, on the psyches and on the consumer side there's a lot of that's a lot of the work of the process.
Joey Levin: On your question on publishing, applications, and the guidance, and the changes, I think Ross, very specifically of the 30 million or whatever the number is I think seven or six or seven specifically the restructuring in this quarter, the broader question in terms of our visibility on Google and I think we have to answer it in two pieces, publishing and applications are really separate. I'll do publishing first. I talked about our ability to market those businesses and that being meaningfully hampered, I think that's true and where that settles out, I actually don't know right now. I think that's a bit of a moving target. But I think it's not as – I mean it's certainly relevant from a cash flow perspective, but when I think about the publishing businesses and their relationship to Google, I really focused on four businesses right now, and we can talk about them one at a time. Dictionary.com is a nice stable cash flow business with a great consumer brand, with no consumer brand to large audience. Investopedia is a growing – growing in audience, growing revenue, growing really nicely on both of those fronts actually basically breakeven and both of them get some traffic from SCO from Google, but not entirely dependent on SCO from Google, and not really dependent on all – at all on Google in terms of monetization. And daily base, same story that one – we're still investing, but we cut losses there, revenue growing very nicely. I think traffic outpacing competition and then the last is about.com where we've got a strategy that we believe in, very well is working so far and is ahead of our expectation so far; but that verticalization strategy of about is going to take some time. I think is the right one, I think we are confident in it, but it's going to take some time. But I look at all four of those things and say, each one has real value and a real future independent of Google. I mean you always want to be getting traffic from Google, but as a real future independent of any issues there. And the rest of the businesses have had real troubles with Google and that's something that we've been dealing with. On the application side, we're one quarter into the new deal and I said this last quarter and it remains issue this quarter I think our expectations for what was going to happen to that business has helped. We took a step down in the business, but it's relatively stable. I've talked about RPQ last quarter was something that was hurting at year-over-year. I said that that was stabilizing and think that has stabilized. Meaning, it's actually sequentially flat to up a little bit. And so I feel reasonably good about that. It's still a tough year-on-year comp but seems stable. And application delivered a really good quarter, what we're dealing with an application side in terms of visibility and why the outlook is weaker is we had in the quarter really two browsers impacting us, IE made a change, Internet Explorer made a change and Chrome made a change. The pace of changes in browsers have accelerate dramatically and we generally deal with one change at a time and its fine we can absorb it. The two changes that each of them made impacted our install base and so while we've mitigated one of them completely and the other one partially, the change to the install base is hard to recover, so that's what showing up in the back half of our year. But when I look at sort of outlook, we're -- we've got a good business that marketing is working, margin is working, all that is in place and I feel confident about it. But we've got this change which they do happen periodically sometimes we win against the browser sometimes we lose. This one, two at once we couldn't really absorb, and that's the outlook.
Chris Terrill: The last thing I will say on that is, we do with our applications business 75% of our application business is the consumer side, somewhere in the neighborhood 70%-77% and within our the consumer side we've got a business that's now totally -- I think about 17 -- 16% of that business is sort of totally outside of that Google ecosystem, and that's our Apple on mobile business and our Slimwear subscription business, and that would have been 6% or 7% this time last year. And that's growing really nicely especially the mobile one. So I'm feeling very confident in our ability to grow that mobile business obviously for it to overtake the desktop business it's got to grow a lot more but the pace of growth is nice the fact that we're able to market those products profitably is working and interesting. So that's a long-winded answer but that's how we are thinking about it. And coming back your cost Dave 6.5 million – I'm sorry the restructuring cost it's 6.5 million in Q2 and you may remember it is 2.1 million in Q1. So our guidance includes those two negatives in it.
Joey Levin: Does that answer your question Ross?
Ross Sandler: Yeah, it's super helpful guys. Thanks for the color.
Joey Levin: Okay.
Operator: And we'll take our next question from Heath Terry with Goldman Sachs. Your line is open.
Heath Terry: Great thanks. Chris, can you give us an idea of what marketing spend grew this year on year-over-year basis and remind us what that growth was in Q1? What was the pace of growth in product development as against revenue, I mean that meaningfully growing to but probably not as fast as revenue.
Joey Levin: Yeah, you're correct.
Heath Terry: Okay.
Joey Levin: Correct.
Joey Levin: I think, I guess Steve that the overall thing is revenues operating growth and all those things, but all those things sales, marketing and product development are all still growing meaningfully.
Heath Terry: Got it.
Joey Levin: The only one that's probably I don't know, but the only one off the top of my head that maybe outpacing revenue growth could be the sales expense. It's probably in that same neighborhood.
Heath Terry: That's right.
Joey Levin: Like the HomeAdvisor guys. Okay. Was there any HomeAdvisor question?
Heath Terry: No. That was it on HomeAdvisor and then just on the application business if you can unpack for us sort of what specific products are generating the revenue in terms of importance now and sort of what's declining versus what's not
Joey Levin: Yes, so the thing I was talking about specifically was the mobile products. Our mobile -- our consumer mobile products which is really halves within the brand called AppOne, that's up, I don't know, I think it's more than double year-on-year. It's a range of products. We're just trying to pull it up in the App Store but presumably in the App Store isn't loading for me. I think we've got into no notepad product that's done very well. We've got a slight tracker product that's done well. We've got a number of weather products that have done well. I think at one point we had two or three of the top five weather apps. I don't know if we do at this minute, but generally in and out of there. I'm trying to think of other products I would comment, but those of the ones within mobile that working and those have no search dependency at all. The revenue from those products comes from advertising and actually paid. We're one of I think few people who still make money charging for apps there. Or – and in upsells within the apps, but actually charging for the apps themselves too. And then Heath, you had a third question, I think.
Heath Terry: On Vimeo. Just...
Joey Levin: Yeah. In terms of where video revenues is, the pace of video revenue growth. I think that – Glenn, do you have that one.
Chris Terrill: Yeah. So, as we have guided the timing of certain electives projects, we had a big electives project in revenue from that in Q1, that didn't repeat in Q2, so we had guided to that, and obviously on a quarter over quarter – guided that down but on year of your basis still strong and healthy growth.
Heath Terry: Okay, great. Thank you.
Operator: And we'll take our next question from Eric Sheridan with UBS. Your line is open.
Eric Sheridan: Thanks so much and thanks for all the color on HomeAdvisor. Maybe just switching gears a little bit. Joey for you, on Vimeo, you're now interim of CEO of Vimeo, I want to understand sort of what your focus is in terms of when incremental investment in that business, how you're spending your time in that role, and maybe then what you're thinking about in terms of a permanent seal for the Vimeo business? And then, one follow-up on the Match Group holding as we get further removed from the IPO, any updated thoughts of how you think about the holding in Match Group and ways in which you can create additional shareholder value at that stake? Thanks.
Joey Levin: Sure. on Vimeo, the thing that we did in that business that I think is really tremendous, as we built this incredible creator of platform, that's at 720,000 subs right now, that's growing nice there. I think this may Heath's earlier question too, that – I think we've made some changes there and some improvements there I think that's accelerating a little bit in terms of its growth. The – that's a great core of a business. The next phase in Vimeo's life is – basically the greatest gift that we can give to these creators who'll use our platform is audience, and so our next phase is very focused on how to adapt the UI for consumers and how to adapt the UI to enable, encourage, improve our creators ability to sell their content. And so we're doing a lot of investment in – there got a lot of focus in that regard. There are other things we can do to supplement that, we can bring specific content, specific kinds of content on the platform which bring larger audiences, and that we think can translate to value for the whole creator committee or encourage more creators to come on, but that sort of phase in Vimeo's life that we are in right now and that's where the investment is going. In terms of the CEO, we're actively looking for a CEO. I'm not in a rush to hire somebody. I'm actually having fun there. I'm learning a lot with where I think making progress in that business, but we definitely do want a permanent CEO, we will hire one. I've met a bunch of great candidates actually. I think it's a pretty – its attracting a very interesting candidate pool but we're not in a rush. We don't need to feel the roll tomorrow. Your last question is what we're doing with our Match. Nothing to say there, as you probably expect, there's no plans to do anything right now. We obviously look at all of our assets all the time, and think about what makes the most sense for everything and we'll report if we have anything to say on that.
Eric Sheridan: Great.
Joey Levin: And certainly on the Match call yesterday look as shareholders among the many things that excites us about Match is that free cash flow yield there on the slide that Gary had towards the end of Gary and Gregg's presentation.
Eric Sheridan: Great.
Operator: And we'll go ahead and take our next question from Chris Merwin with Barclays. Your line is open.
Chris Merwin: Okay. Great. Thank you. I just had a couple. I guess, first for Chris, Instant Booking, Instant Connect I think you said about 10% of request now. So what does that number settle out in the next few years and maybe why isn't that higher already and is that number does move higher? Can you talk about impact on ROI for the service professionals on the platform? And then just a second question on M&A in general. I guess buybacks the near-term priority just curious how you're thinking about M&A and whether it's augmenting some of the assets you have in existing categories or perhaps moving into a new category altogether? Thank you.
Joey Levin: Hi, Chris, a couple of things. Yes, Instant Booking and Instant Connect is right around 10% of our mix now, I think we see that growing materially over this coming years, whether that ends up being a quarter or third or half we'll have to wait and see, but I think it's interesting as you have to get the service provider set up and using it and that's not always the easiest thing because that's the behavioral change form. So the guys are little more sophisticated and get it, sign up love it, and want as much as they can get the others, we have to do a little more hand holding, a little more training. We've got a lot of initiatives to go out there, get more guys into it, get their calendar online, and we're seeing good effort there, and good response and I think that allows to continue to grow. We sort of had the big surge, we went from no Instant Booking's last year to approaching 1 million this year. So you kind of get that first wave in and that will methodically work our way through and get more and more guys signed up. I think the other art of the equation is as homeowners continue to experience Instant Booking is connect and they really love it's very, very high satisfaction they'll look for it more, they'll tell friends and family, and I think you'll see more request for, which will be more service providers to want to sign up. So I think you'll definitely see it accelerate over time. In terms of ROI, the thing that we like so much is that the win rates are sky high for Instant Booking and Instant Connect, they are exponentially greater than sort of our market match model, and I think that's why you're seeing the guys that use it really, really like it high satisfaction and why you'll see more adoption over time, obviously, when some and schedules into your appointment, an appointment into your calendar and your service provider, and you can just simply show up, give them a quote, or do the work. That's their ideal scenario. So I think you're going continue to see these products grow and I think to some of the earlier question these are not easy things to build unless you have our sort of algorithm, unless you have our technology, unless you're taking the time effort, energy to profile what the job is from the homeowner side, and profile what the service provider does, it's very difficult to do this matching particularly in real time and understanding this sort of capacity capability at any given month of the service provider, so we've invested a lot. It takes a lot of to make this happen and we think we're the only one with a national platform and we plan to really lean into it. And the only thing I'd add Chris, something I've said before is the – our demo skews a little bit older that's homeowners generally skew a little bit older, and there is still a huge portion of our demo that believes they want to get multiple choices for booking a job and that's a better way of doing things. I think over time that portion of the demo goes away and the under demos as just left the platform chose for me. It is growing much faster but that's still a huge portion of the demo there and that's going to work against that growth rate as much as it is to our frustration. On M&A and buybacks and augmenting existing businesses, we got this question earlier on the call, answer is the same, it's – we are going to prioritize M&A for our existing businesses and particularly those businesses that are strong and executing well, right now, but we will always look at new things, it's a much higher bar for new things but w will look at them and if something make sense, we will act on it.
Chris Merwin: All right. Thanks
Joey Levin: Operator, I think we have time for two more.
Operator: Okay. We will take our next question from Robert Beck with SunTrust. Your line is open.
Sagar Vachhan: Hi. This is Sagar on for Bob. He had to hop onto another call. I just want to ask Chris one question. $1 billion of revenue in years three to five is pretty broad and as Joe said that number could have been sandbagged. Can you narrow that range for us and tell us, what your assumptions are to get there. And Joey second question would be the leverage ratio backing up match is pretty low and multiple uses for cash receipt as you mentioned, is there any chance you guys are going to raised that or put into other – other purposes as well?
Chris Terrill: Sagar, this is Chris. Yeah, I am not going to narrow that range but what I will give you some color on is, that my thinking is really simply based on the trajectory of the business, as it's growing today, I mean, we continue to have a very sort of, predictable business. We know as we grow our service provider network what that lifetime value and what those retention curves look like both are increasing our lifetime value since I've been there is tripled retention continues to extend. So I would just simply say, I am as bullish as ever on that statement, I'll stick to sort of, that range, but the real driver is just simply the trajectory of the business and the predictability of the marketplace that we're in.
Sagar Vachhan: Coming – getting to 1 billion anywhere in that three to five year range would require our growth rate to decelerate meaningfully from where it is and I don't think any of us expect our growth rate to decelerate meaningfully from where it is.
Joey Levin: In terms of the leverage ratio, we've historically been comfortable around 3X, that's not a rule but that's historically where we've been comfortable. We're not institution that likes to operate in a highly levered position. Again not a rule, but that's our best – that's the direction that we generally lean and I think that is a much as I can answer the question.
Chris Terrill: And remember we have a 1.2 billion of cash
Sagar Vachhan: Well thanks for helping.
Operator: And we'll take our final question from Stephen Ju with Credit Suisse. Your line is open.
Stephen Ju: Thanks and good morning. So I guess a longer-term product question for Chris on HomeAdvisor. I do realize that maybe pretty difficult for you to figure out the exact dollar size. The jobs being done and if there isn't an answer right now it's fine. But is there an opportunity to get paid on billings basis? And can that be a more attractive revenue model perhaps, a large revenue opportunity for your longer-term? Thanks.
Joey Levin: Sir Stephen. So we actually know exactly what our jobs are being done. I mean, by virtue of our scale, our liquidity the fact that we're nationwide, the fact that we profile a job before it get submitted we collect the actual cost at the ZIP Code level. I mean, our cost guide database is the world's largest down to the ZIP Code level. So we have a very, very good sense of what our job is and that changes geography. A plumbing job in Beverly Hills has a different value to us than a plumbing job in the Moen Iowa. And so we are very sophisticated about how we understand our pricing at a ZIP Code and geo level. So we have all of that data and frankly we utilize that data to align, supply and demand and to optimize how we monetize the business. So we have all that and we use it aggressively. In terms of win fee, we have done that testing, it always sounds like the nirvana that everybody thinks we should go for. It's really really complicated in the space, there is not necessarily we've done a lot of surveys, there is not necessarily huge demand from homeowners and service providers at the same time. We know that's where the space is going. So we're putting billing in place. We're sort of getting ahead of the curve. We do think we do currently allows service providers through in-and-out product to do billing directly, and for some categories and some service providers, we will look at that in the future but the way we monetize our Instant Booking we think is a better way to go at this, and we will always look at the alternatives. But if you look at the model the folks who leaned on that model exclusively in our own internal test. It's very, very difficult to make work sometimes particularly at the higher end jobs take a very long time to come to provision, and we just find that our model is most efficient effective in the best way to sort of align service provider needs and homeowner needs and so we will always look at it billing will be part of what we do, we already introduced it in help were going to continue to test and introduce it we are not adverse to it but I think thinking about it as a better alternative what we are doing we just don't see that.
Stephen Ju: Thank you.
Joey Levin: I think the wraps it up. We ran over a bit. So thanks everybody thanks Chris for joining us and we'll talk you all next quarter
Chris Terrill: All right. Thanks
Glenn Schiffman: Thank you
Operator: This conclude today's program. Thank you for your participation. You may disconnect.